Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:06 Good day, ladies and gentlemen, and welcome to the Haynes International Inc. Fourth Quarter Fiscal twenty twenty one Conference Call. At this time, all participants have been placed on a listen-only mode and the floor will be opened for questions and comments after the presentation. 00:22 It is now my pleasure to turn the floor over to your host, David Van Bibber, Controller, and Chief Accounting Officer. Sir, the floor is yours.
David Van Bibber: 00:32 Thank you very much for joining us today. With me today are Mike Shor, President, and CEO of Haynes International; and Dan Maudlin, Vice President, and Chief Financial Officer. 00:42 Before we get started, I would like to read a brief cautionary note regarding forward-looking statements. This conference call contains statements that are forward-looking within the meaning of the Private Securities Litigation and Reform Act of nineteen ninety five and Section 21E of the Securities and Exchange Act of nineteen thirty four. The words believe, anticipate, plan, and similar expressions are intended to identify forward-looking statements. Although we believe our plans, intentions, and expectations regarding or suggested by such forward-looking statements are reasonable, such statements are subject to a number of risks and uncertainties and we can provide no assurances such plans, intentions, or expectations will be achieved. Many of these risks are discussed in detail in the company's filings with the Securities and Exchange Commission, in particular, Form 10-K for the fiscal year ended September thirty, twenty twenty one. The company undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events, or otherwise. 01:43 With that, let me turn the call over to Mike.
Mike Shor: 01:47 Thank you, Dave. Good morning, everyone. Three and a half years ago, when our teams' improvement journey began, we were frequently unprofitable. For those of you that follow us you know the story. Our gross margins were just too low and not representative of the high-value differentiated alloys, products and services we offer. Because of the low margins, Haynes in the fiscal year twenty seventeen, twenty eighteen and early twenty nineteen struggled to be profitable below the fairly robust shipment level of five million dollars pounds a quarter. 02:20 As we complete our fourth quarter of the fiscal year twenty twenty one, I'm proud to say that our employees' relentless focus on what's important has resulted in the top-of-a-class gross margin percentage in the second half of our fiscal year twenty twenty one in our slice of the industry. This was achieved despite the continued low aerospace volumes that the industry is experiencing. 02:40 We've done what we said we would do, on gross margin improvement, on cash generation, and on lowering our breakeven point by about twenty five percent with the current mix. This is not the Haynes of the past, but a company prepared to continue to do each of the following. 02:58 Prioritize safety and continue to improve our safety processes; to be profitable at volumes well below past breakeven points; improve gross margins by leveraging both a lower cost structure and higher base pricing; thoughtfully and strategically allocate capital; work with our customers on an ongoing basis on our outstanding alloy and application development; and finally, be well-positioned to capitalize on the upcoming anticipated volume improvement in our largest market, that being aerospace. 03:31 I'm very proud of our entire team. Our fiscal year twenty twenty one Q4 performance shows the enormous strides that our team has made. Some of the highlights are as follows. Revenue was up eight point one percent sequentially and nineteen point two percent year-over-year. Net income was two point six million dollars despite shipping slightly below four million pounds. Our gross margin percentage was seventeen point five percent, up two hundred basis points from Q3 and up one thousand two hundred and sixty basis points from Q4 of fiscal twenty twenty. 04:06 Next, we implemented our capital allocation strategy, using cash for the dividend for a build-in [WIP] (ph) to address our increasing backlog and for our previously announced stock buyback and for the significant reduction in our US pension obligation. Dan will provide additional details. But I'd like to note, that after beginning fiscal twenty twenty one with a pension liability of one hundred and five million dollars, we began fiscal year twenty twenty two with a liability now at twenty six point one million dollars. Our combined pension and healthcare expense is expected to be reduced by six million dollars in fiscal twenty twenty two versus fiscal twenty twenty one. 04:47 Continuing with the highlights of the quarter, our backlog increased by twenty four point four million dollars or sixteen point two percent over the past quarter. Our alloy and application development activities continued to generate the innovative solutions that have always been and continue to be the backbone of our company. 05:06 And finally, our company had no OSHA recordable injuries in the last two months of the quarter. I'm proud of our team's focus, leadership, safety process development and communication. Their efforts continue to make a real difference. 05:20 In addition, our work on ESG continues. In the quarter, we saw an improvement in our social ESG score, the labor health and safety subcategory, the social score improved significantly as we continue to show leadership improvement in transparency in our safety initiatives. In addition, still related to ESG, we are now making a significant investment and have begun construction of our first solar installation, one that we expect will generate one megawatt of electricity at our Haynes Wire facility in Mountain Home, North Carolina. This installation will supply approximately half of our electricity needs at this location. 06:01 Now transitioning to our markets. From a market perspective, the numbers show the impact of our IGT share gain initiatives, the impact of our continued efforts to grow our applications beyond our three core markets, and also the impact of the expected upcoming improvement in aerospace. In Aerospace. we were seeing the initial signs of recovery. Revenue was up fourteen point eight percent sequentially and sixteen percent year-on-year. Book-to-bill was one point three percent and our backlog grew thirteen point six percent over the last quarter. We believe these numbers represent the beginning of the return of our largest market. 06:41 A key point to make is that, we believe we are just at the beginning of the aerospace recovery. Consistent with that belief, fiscal year twenty twenty one aerospace revenues were just fifty percent, of our fiscal year twenty nineteen aero revenues. In IGT, revenue was up three point nine percent sequentially and forty nine percent year-on-year. Our innovative alloys and our excellent customer service resulted in the market share gains that we've talked about over the past eighteen months. 07:13 In CPI, our revenue was down both sequentially and year-on-year, but our book-to-bill was one point six and our backlog grew forty percent over the past quarter. The reduction experienced in our Q4 was related to the timing of order shipped and we expect special projects and our base CPI business to improve year-on-year. 07:35 Our other markets category includes products that are used in wear FGD or Flue Gas Desulphurization, electronic ceramics, automotive, renewable energy, oil and gas, and waste incineration applications. Our unique alloys along with our excellent technical marketing and application development provide solutions for difficult to solve problems in these industries. This overall segment grew seventeen point one percent sequentially in our Q4 led by increases in shipments to the FGD, oil and gas, marine -- excuse me, marine and navy nuclear and wear markets. 08:14 As far as FGD, where the largest growth occurred, our business conditions continue to improve in the aerospace -- as our business conditions continue to improve in the aerospace, IGT, and CPI markets, we will most likely see a reduction in our FGD shipments as we utilize our manufacturing capacity on higher-value products. 08:35 Wrapping up my market comments, I'd like to briefly highlight another of our differentiators. The growing use of the proprietary alloy Haynes 282 in the industrial gas turbine market. As I've discussed each quarter, innovation, inventing alloys, and developing new applications to help customers meet their demanding needs has been and continues to be a core strength for our company. Haynes 282 alloy has already been specified by certain major OEMs into some of their advanced -- most advanced gas turbines. This alloy was selected due to its unique combination of high-temperature strengths and fabricability, to increase the efficiency and power generation capabilities of these engines. Other major OEMs are also in the advanced stages of either conducting field trials or specifying our alloy. 09:28 In addition, beyond Haynes 282, Haynes 244 alloy due to its low coefficient of thermal expansion and high-temperature strength is now being tested in certain major industrial gas turbines. Finally, our newest high-temp alloy Haynes 233 with its outstanding combination of high-temperature strength and oxidation resistance is now being tested by OEMs. 09:53 Wrapping up my comments, the efforts of the Haynes team have changed the future of our company. Our focus on providing high-value differentiated products, on getting paid for the product and service value provided, on relentlessly pursuing opportunities to increase our yields and lower our variable cost of manufacturing, and on finding even more opportunities to be innovative have all resulted in cash generation, higher margins, and a significantly lower breakeven point. We've truly moved from words to actions to bottom-line results. 10:26 And I'll turn the call over to Dan for more details on our financial results.
Dan Maudlin: 10:32 Thank you, Mike. Let me start with a detailed update of our value-creating capital allocation strategy, including our favorable year-end actuarial valuation. 10:43 As you recall last quarter, we were excited to announce a multifaceted capital allocation strategy, that first included a share repurchase plan as we feel this is a unique opportunity to repurchase shares well below the intrinsic value of the company. This is based upon the outlook in our markets, particularly the anticipated accelerating recovery in commercial aerospace, combined with our gross margin expansion strategy. 11:10 In the fourth quarter, we repurchased approximately one hundred and thirteen thousand shares worth four point two million dollars. This part of the strategy is executing as expected. The second part of our capital allocation strategy included the recent adoption of a glide path for our US pension plan, along with a fifteen million dollars lump sum contribution in Q4 as we work to reduce what was the largest liability on our balance sheet. 11:38 The result of these actions, combined with the favorable overall valuation has impressively exceeded our expectations. The US pension funded percentage and net liability started the fiscal year at sixty eight percent funded and a net liability of one hundred and five point two million dollars, but ended the year at ninety one percent funded and a net liability of twenty six point one million dollars, representing a liability drop of over seventy nine point one million dollars. Combining this with a favorable valuation on our retiree medical plan, reducing the liability to ten point four million dollars and improvement in our UK pension of three million dollars. All combined, this is an improvement of ninety two point five million dollars, an impactful value-creating balance sheet transformation. 12:27 And further, our expense for FY twenty twenty two for pension and retiree health care is expected to decrease six million dollars compared to FY twenty twenty one. Our pension asset allocation at year-end was thirty percent equity and seventy percent fixed income, but additional glide path triggers were hit in October and November as we are now at a funded percentage of ninety three percent, putting the current allocation today at nineteen percent equity and eighty one percent fixed income. 12:58 With the fixed income portion in hundreds of individual bonds designed to match the duration of cash flows of the pension plan, essentially creating an interest rate hedge. This reduced interest rate risk, combined with the reduced equity risk is expected to reduce volatility, creating more stability at this lower expense level. Overall, this strategy is executing well and we can see the path to achieving our goal of zero net liability for the US pension plan potentially sooner than we expected. This is an all-around favorable outcome from this value-creating strategy. 13:38 Moving on to the financial results for the quarter. We expanded our revenue and profitability this quarter with revenue at ninety five point three million dollars and net income at two point six million dollars. This profitability level was accomplished at just four million pounds shipped, proving once again our lower breakeven point with the current mix. Our gross margin percentage expanded by another two hundred basis points to seventeen point five percent in the fourth quarter of fiscal twenty twenty one, which exceeds the gross margin percentage in the quarters leading up to the pandemic. Our margin improvement strategies have been successful and are expected to continue to gain momentum going forward. 14:19 We expect volumes to increase in the anticipated accelerated growth in the aerospace recovery, which should further improve our fixed cost absorption and more fully realize the benefits of our cost reduction efforts. These cost reductions have been related to improved yields, productivity and process improvements, which are expected to be further realized with higher mill production volumes. In addition, as we -- shipped volumes increasing as expected, we anticipate that our previously announced price increases will continue to help margins. 14:54 Market price increases for nickel and cobalt provided a moderate tailwind to margins this quarter of roughly one point eight million dollars. The direct charge was only eight hundred thousand this quarter with better absorption of overhead costs compared to two million dollars in the third quarter of fiscal twenty twenty one and four million dollars in the fourth quarter of last year. 15:16 We have not been immune to the industry-wide challenges in the labor market or supply chain issues, as well as inflationary cost pressures. These have been significant issues to manage through. And at this point, we have been rather successful with no material impact on our financial results. We expect it will continue to be a challenge that will require ongoing management team focus. 15:41 Mike already covered a discussion of each market, but here's a bit more detail on the numbers. This quarter, sales to the aerospace market accounted for forty one percent of our revenue at thirty nine million dollars. This is an increase of fourteen point eight percent sequentially from Q3 and an increase of sixteen percent from the same period last year. This appears to represent the beginning of the recovery, however, much more is expected. 16:09 Aerospace volumes in FY twenty twenty one were thirty one percent below volumes of fiscal year twenty twenty and nearly fifty two percent below volumes of fiscal twenty nineteen. Published build rates of single-aisle aircraft show significant growth expected in fiscal year twenty twenty two and generally a return to twenty nineteen levels in fiscal twenty twenty three. 16:32 Backlog dollars in aerospace increased sequentially from Q3 to Q4 by thirteen point six percent and were relatively flat year-over-year. Sales to the chemical processing market accounted for seventeen percent of our revenue at fifteen point eight million dollars, this is down seven percent sequentially from Q3 and down fourteen percent from the same period last year. 16:56 Special project revenue, most of which is reflected in chemical processing, was three point two million dollars, which is one point six million dollars lower than the third quarter and two point six million dollars lower than the same period last year. As Mike mentioned, this reduction relates to timing issues of products being shipped in the quarter. 17:16 Backlog dollars in CPI increased by forty percent Q4 versus Q3 and is up sixty eight percent year-over-year. Sales to the industrial gas turbine market accounted for twenty percent of our revenue at eighteen point five million dollars. This is an increase of three point nine percent sequentially from Q3 and up forty nine percent from the same period last year. Shipments from market share gains continued to be more consistent quarter-to-quarter in this market. Backlog dollars in industrial gas turbines increased sequentially from Q3 to Q4 by thirteen point four percent and thirty five point one percent year-over-year. 17:59 Sales to other markets accounted for seventeen percent of our revenue at sixteen point one million dollars. This is an increase of seventeen percent sequentially from Q3 and an increase of seventy three percent from the same period last year. Backlog dollars were up four point nine percent sequentially and up twenty two percent year-over-year. 18:19 Other revenue accounted for six percent of our revenue at five point nine million dollars. This is an increase of four point eight percent sequentially from Q3 but a decrease of four point two percent from the same period last year. 18:34 SG&A, including research and technical expense was eleven point nine million dollars or twelve point five percent of net sales in the fourth quarter, which was lower than the third quarter's twelve point three million dollars, but higher than last year's fourth quarter at nine point one million dollars. The year-over-year increase was mainly due to last year's fourth-quarter reversal of incentive compensation accruals, creating a credit for the fourth quarter of last year. 19:03 Non-operating retirement benefit expense in the P&L of zero point four million dollars was lower by one point three million dollars this quarter as compared to the same period last year due to our favorable actuarial valuation last year. This line in FY twenty twenty two is expected to be an income of one point one million dollars per quarter versus the current zero point four million dollars expense or a reduction of one point five million dollars per quarter or a significant six million dollars annual improvement for FY twenty twenty two. 19:36 Our effective tax rate was high at thirty seven point seven percent in the fourth quarter of fiscal twenty twenty one, primarily related to a change in the UK tax rate, which required a revaluation of their deferred tax liability creating a four hundred thousand dollar charge to earnings this quarter. 19:58 We achieved these results despite shipping volumes twenty percent below our previous breakeven point. All of the above contributed to a net income for the quarter of two point six million dollars compared to a net income of zero point four million dollars in the third quarter and a net loss of five point seven million dollars in last year's Q4. It certainly feels good to see the anticipated beginning of our recovery with profitability expanding and a more robust positive outlook for the commercial aerospace industry. 20:30 Order entry and backlog were not yet back to pre-pandemic order entry levels, however, order entry rates continued to increase in each quarter of fiscal twenty twenty one. Backlog was one hundred and seventy five point three million dollars at September thirty, twenty twenty one, an increase of twenty four point four million dollars or sixteen point two percent from June thirty, twenty twenty one levels. After year-end, our backlog continued to increase ending October thirty one, twenty twenty one at one hundred and eight six point four million dollars. 21:05As far as our outlook for next quarter, the first quarter is historically our lowest revenue quarter impacted by holidays, planned maintenance outages, and customers managing their calendar year-end balance sheets. We believe this first quarter seasonal impact will be offset by our business improvements and the strengthening demand that we are experiencing. Therefore, the company expects both revenue and earnings in the first quarter of fiscal twenty twenty two to be similar to the fourth quarter of fiscal twenty twenty one. Based on our increasing backlog and accelerating commercial bill rate schedules, we expect to see significant year-on-year aerospace growth that will positively benefit the company over the balance of the fiscal year. 21:53 Capital spending was five point nine million dollars in fiscal twenty twenty one and we are increasing our expected capital spending in FY twenty twenty two to seventeen point seven million dollars, a sizable increase and approaching our depreciation levels. 22:08 Liquidity, cash on the balance sheet was forty seven point seven million dollars at September thirty, twenty twenty one after outlaying a fifteen million dollars of lump sum pension contribution and four point two million dollars in share repurchases in accordance with our value-creating capital allocation strategy. We have strong total liquidity of one hundred and forty seven point seven million dollars, of which one hundred million dollars is available on our undrawn credit facility. 22:37 In conclusion, it is encouraging to see expanding profitability with the recovery of our gross margin percentage now exceeding pre-pandemic levels. While still ahead of us, we also have expectations of significant growth in volume and revenue from the anticipated aerospace recovery, combined with the expected additional margin percentage expansion. Our process improvements are more fully realized -- as our process improvements are more fully realized. 23:08 This transformation of the business, combined with the significant value creation achieved from the execution of our capital allocation strategy, results in a truly different company. We are a company with impressive earnings power potential and a strong transformed balance sheet as the foundation for growth and continue value creation for our shareholders. 23:33 Mike, with that, I will now turn the discussion back over to you.
Mike Shor: 23:38 Thank you, Dan. Our team is encouraged by both the progress and the future potential for our business. I want to thank all of you for your continued interest in Haynes. 23:50 With that, Holly, let's open the call up to questions.
Operator: 23:54 Ladies and gentlemen, the floor is now open for questions. [Operator Instructions] Your first question for today is coming from Marisa Hernandez. Please announce your affiliation then pose your question.
Marisa Hernandez: 24:28 Hi. Good morning. Marisa Hernandez from Sidoti & Company.
Mike Shor: 24:31 Good morning, Marisa.
Dan Maudlin: 24:33 Hi, Marisa.
Marisa Hernandez: 24:35 Hi. So congratulations on the results. A couple of questions here. So, I think that you called out the contribution of higher nickel prices in the quarter. Can you provide that on a quarter-over-quarter basis? I think you provided it on an annual year-over-year basis.
Mike Shor: 24:59 Yes, let me --
Dan Maudlin: 25:00 Yes, actually the number that I had in my script was one point eight million dollars was the tailwind for nickel and cobalt, because cobalt is going up quite dramatically as well. And that is just for the quarter. Now last quarter we also had a bit of a tailwind for raw materials of about one million dollars. So the delta between Q3 and Q4 is about eight hundred thousand dollars. Does that help?
Marisa Hernandez: 25:26 Okay.
Mike Shor: 25:27 Marisa, if you don't mind, I'll add to that. Because certainly, we had the tailwind related to the one point eight million dollars in nickel and cobalt. But I think it's really important to emphasize there's so much more that's driving our margins. As you and I -- as all of us have talked about before, the eighteen percent we hit in January and February of twenty twenty, we looked at it as a starting point as we continue to get our volume back. 25:52 Over the last three years, as Dan said in the call, we've reduced our breakeven significantly. Our best estimate is down twenty five percent of the current mix. And I think we've been able to do that because of the incremental work on both cost reduction -- sustained cost reduction, yield improvement and pricing. So, we're very encouraged about what the future holds.
Marisa Hernandez: 26:14 Excellent. So, let's see. So, if we were to adjust your gross margin in the September quarter to compare it apples-to-apples to the June quarter, would that be approximately sixteen point seven percent?
Mike Shor: 26:33 I think what we have not done is give specific estimates related to gross margin. What I can say though is our volume is coming back. Our aerospace business is coming back. We saw, on special projects, the lowest quarter in revenue than we've seen in a long time. The direct charge is obviously behind us as we move forward and start to exceed this four million dollars pound level that we were at. And so, we feel good about where everything is related to our products and we feel great about what we're doing both on the pricing side and on the cost side. 27:10 So again, as far as we're concerned and we're not giving estimates as far as when, but we do look at our eighteen percent we hit in the two months before the pandemic struck as a starting point. So we expect to exceed that as we move forward.
Marisa Hernandez: 27:25 Yes. I was not asking about an estimate I was asking for the quarter adjusted, but that's okay.
Mike Shor: 27:31 Sorry.
Marisa Hernandez: 27:33 No worries. We can take that offline. But yes, so I wanted to ask on the aerospace demand that you're seeing. I believe you were expecting an order pickup to start materializing later in twenty twenty one, so around right now I guess. It appears that it's happening a bit earlier. Is that accurate? How would you characterize it versus your prior expectations?
Mike Shor: 28:01 Yeah. I think what we are hearing from the engine manufacturers and the airframe manufacturers are concerned for ability to supply metal in the supply chain. So we are having a large amount of contact and we -- as you can see by our numbers, with the aerospace sequentially up and certainly year-on-year up, we're beginning to see that. 28:23 To me, it's really at this point as simple as looking at the LEAP engine. We know single-aisle jets are seventy five percent, eighty percent of what's going to be built. And when you look at what's happened with the LEAP engine count, down to eight hundred and fifteen from seven hundred -- seventeen hundred and fifty -- seventeen hundred plus in twenty nineteen -- twenty fifteen and twenty twenty over eleven hundred now in twenty twenty one and somewhere in the fifteen hundred plus range in twenty twenty two. And if that's what has to happen, there's about a year between us making metal and when the engines are being built to be put on the plane. So it's good timing and timing is about right for us to begin to see this pop that we are. 29:05 I think -- and the other thing that I think is really worth noting. Even though our business has improved, the numbers are striking. So, we talk about this fourteen point eight percent increase in aerospace up to thirty nine million dollars and how much it's greater than twenty twenty. But when you compare that to twenty nineteen, our sales in Q4 twenty nineteen, obviously, pre-pandemic were sixty eight million dollars in aerospace. So, there's a lot of room to move, obviously. And I believe because of everyone's belief in what's happening with the A320 and the MAX and certainly seeing it in elite numbers that it's going to start to happen now and it is.
Marisa Hernandez: 29:47 Okay. So, I wanted to ask about a couple of your other markets. You've had a lot of market share gains on the turbine market. How is that looking from a sustainability perspective? And how would you characterize the outlook for that market?
Mike Shor: 30:05 I think the outlook is good. Just a small amount of history. Everyone went through five-plus years of no growth in large-frame power generation and a lot of inventory in the supply chain. And now we're beginning to see growth and we're beginning to see much less metal in the supply chain. So, when there's demand, we're feeling the pull forward. 30:29 Our share gain is sustainable. These are contracts that we have signed. We feel great about it. We've not only seen some share gain that we've talked about for the last eighteen months, but we're also seeing -- obviously, we've seen some work stoppages out there by others. And we've been able to see certainly not to the extent of our major share gain, but some additional business coming into us. 30:53 And then on top of that, what I talked about with our innovation with Haynes 282. This is an alloy that is being substituted into both existing large frame engines and also in some being spec-ed in. So this is definitely sustainable.
Dan Maudlin: 31:11 And one thing I noted, Marisa, related to IDT is, the market share gain that we have is a little more consistent as well. At first, it was a little spotty quarter-to-quarter, but now we are seeing more consistency quarter-to-quarter in what we're shipping related to that share gain.
Marisa Hernandez: 31:30 Got it. And I think I heard you say that the decline sequentially here of chemical processing business is due to the timing of sales. Is that correct?
Mike Shor: 31:44 Yes. We -- when you look at what's happened with our backlog being up in CPI forty percent or our book-to-bill, which I like to look at being at one point six and the fact that we've hit in special projects a multi-level -- multiyear low. We feel good about the future both in our base CPI business and in special projects.
Marisa Hernandez: Thank you so much. I will go back in queue.
Mike Shor: Thank you, Marisa.
Dan Maudlin: Thanks, Marisa.
Operator: 32:17 The next question is coming from Michael Leshock. Please announce your affiliation then pose your question.
Michael Leshock: Hey, guys. Mike Leshock with KeyBanc Capital Markets. Good morning.
Mike Shor: 32:29 Hi, Mike. Good morning.
Michael Leshock: 32:32 First, I just -- I wanted to ask on your outlook commentary. How should we think about the term substantial for aerospace growth in fiscal twenty twenty two just per the verbiage in your guidance? Do you think of that as a percentage change year-over-year on an absolute basis relative to historical levels? Could we get back to pre-pandemic levels in aerospace this year? I'm just trying to get a better sense on how to frame that wording there.
Mike Shor: 33:04 Sure. And what I'll do is use what we've heard and what everyone has heard related to build rates on single-aisle jets. Again, eighty percent of the market, what we have heard is by the end -- what we've actually heard mid to late, but I'll say by the end of twenty twenty two build rates pretty much equivalent to what was steady state in twenty nineteen. And again, we're talking build rates of engines and planes. And so, from a metal standpoint, it's got to start coming sooner. 33:35 Obviously, what's not in there is the wide-body, that twenty-plus or minus percent component, which is going to be a couple of years out from now. So, we feel great that we believe build rates certainly on the LEAP engines and therefore, on pretty much the single-aisle aircraft are going to be twenty nineteen at levels on an engine build rate level by the end of twenty twenty two is what we continue to hear.
Michael Leshock: 34:05 And then as I shift to CPI, I know those -- you had mentioned that you've seen an improvement year-over-year of these lower tweny -- fiscal twenty twenty one levels. But I know those projects are typically higher margin as well as the spot business which is pretty hot right now versus historical levels. So do you expect those special projects within CPI to drive a stronger mix in twenty twenty two? Is that fair to think about it that way?
Mike Shor: 34:35 I think when you look at our revenues and special projects in twenty twenty one, the full-year fiscal twenty twenty one they are a little over nineteen million dollars in revenue versus the prior three years, all ranging between twenty four million dollars and twenty six million dollars. And there's a great reason why we were down at nineteen million dollars, why we were down at three point two million dollars in the fourth quarter. These projects take a long time once from idea to finish, and we're still in the time frame that the ideas would have been right in the middle of the pandemic. 35:05 So yes. To answer your question, this is a higher-margin product, we expect special project work to expand. And as you said, we also are seeing on the transactional side in our base CPI business significant improvements in average selling price.
Dan Maudlin: 0:45:59 And some very strong improvements in the backlog that we mentioned. So orders are starting to come in.
Michael Leshock: 35:29 Got it. And then just lastly for me, on the pension payment that you made in the quarter, would you expect to make any more lump-sum payments like that in the coming year? And then if not, what's your strategy behind any excess cash going forward?
Dan Maudlin: 35:49 Well, I'll start with that one. We have the capital allocation strategy. And one of the main goals of that strategy is to get the US pension plan to a net liability of zero as quickly as possible. And we kind of were thinking when we started this, that would be two to three years. And obviously, we're a bit ahead of schedule going from one hundred and five million dollars down to twenty six million dollars all in one year. So, we'll be watching this. 36:16 Will we make another lump-sum payment this year? Possibly. I think what we're going to do is look at our cash positions, look at other capital allocation opportunities that are out there and we'll make a determination what is the best capital allocation for the cash that we have. So it is a possibility. But I'll tell you with such great strides we've made this year, it may not be to that magnitude or it may be pushed to later as we look forward and see where our capital allocation strategy will go from here.
Mike Shor: 36:48 And just to add to that, you know the story of the capital allocation for us. We've used our cash for the dividend. Now, we're using it, especially in our Q4 to fund our inventory growth. We've got the current stock buyback going on. We've got what we -- what Dan has talked about with the pension. And so, obviously, that's using our cash right now. But we do believe, as we look at the aerospace cycle, that it will continue to grow and we continue to look at what else is out there once we get beyond these specific items to invest in to improve shareholder value.
Michael Leshock: 37:24 Got it. Appreciate the color, guys.
Mike Shor: 37:26 Thank you.
Dan Maudlin: 37:27 Thanks, Mike.
Operator: 37:30 [Operator Instructions] Your next question is coming from Chris Olin. Please announce your affiliation then pose your question.
Chris Olin: 37:45 I'm with Tier4 Research.
Dan Maudlin: 37:48 Hey, Chris.
Chris Olin: 37:49 Good morning, everyone. How are you doing? So, it looks like the strategy is starting to come together, Mike. So, congratulations there. And I --
Mike Shor: 37:58 Thanks, Chris. Our team has spent a great deal of time focusing on making sure we're supplying these high-value differentiated products, making sure we get paid for them. And that's been a journey since twenty nineteen and then these relentless sustained cost reductions. And I'm thrilled with where we're headed.
Chris Olin: 38:18 Great. Great to hear. I don't believe in your opening remarks you mentioned it or maybe I missed it, but the seven eight seven situation, is that not much of a factor in terms of your guidance or your business or indirect, direct? Is there anything going on?
Mike Shor: 38:35 We don't believe at this point going forward that it will have a negative effect on us. Let's face it, the build rate was already down at about two a month. And so, if we see any increase, call it, up to four, up to five by the time we get to twenty twenty three, then it will be a good thing for us. But right now, it's not in the base because it's so low. So we really don't see any issues with it. 38:57 And then the other side of that is seven seven seven. We've talked about this quite a few times, but GE9X is our two proprietary alloys and they're actually talking about building thirty eight engines in twenty twenty three. So, that's certainly going to help.
Chris Olin: 39:15 The titanium tubing business, did that contribute to the sales growth quarter-to-quarter? Any insights there in terms of like the inventory situation with your customers?
Mike Shor: 39:27 Dan, you're going to have to help me if it contributed to the sales growth this year. But I will tell you that we have seen, in the titanium tube area until this current quarter an oversupply of titanium tube and we're beginning to see that coming to an end and beginning to see things pick up again for us, specifically related to Boeing and the airframe business.
Chris Olin: 39:53 Okay. The other question I had is related to the issues that seem to be going on with some of your competitors today, whether it's labor related or tech related. And I guess I'm wondering if that helped you in terms of picking up business or changing market share? Any positive benefits from that?
Mike Shor: 40:14 Yeah. We've seen some benefits related to some smaller contracts, in particular, in the power generation segment that has helped us. Also, obviously, as people are out on strike, there is less supply and therefore, there is the opportunity to continue to focus on making sure that we at least offset our inflationary pressures with price increases and even more possible. So yes, we're seeing that. There's no doubt about it.
Chris Olin: 40:49 Sticking with that price increase topic, there's been a number of them announced by Haynes over the past few weeks and months. And I guess I'm wondering right now how big the spot business is in terms of that realization? And how should we think about contract rollovers and when that starts to kind of flow through to the other customer groups?
Mike Shor: 41:11 Our largest broker contract rollovers are in January. And we have set ourselves up because of the transactional price increases that we've put in place. The difference now, Chris, versus pre-pandemic is when we talked about transactional or price increases or even contract price increases in the past, I always talked about it being on the top end of our mix. If we go back two to three years ago, I talked about our fifty percent of the product, which is truly a high-value differentiated product. The difference today in what we're doing are price increases are across the board. We're getting price increases pretty much on every product that we manufacture. So, it's a different world than it was and it's our opportunity to continue to sell the value that we provide, including our company-owned distribution facilities and make sure we were getting what we need as far as increases.
Chris Olin: 42:07 Is there a big number of contracts rolling over in January or how do you think about it percentage-wise?
Mike Shor: 42:13 I don't have the percentage-wise at this point. Dan, do you?
Dan Maudlin: 42:19 Not an exact percentage. But I would estimate our overall contracts are about forty five percent to fifty percent of our business and about probably twenty percent of that is annual-type of contracts. So maybe one-third or half of that would roll over this year would be my estimate.
Chris Olin: 42:41 Okay. That's all I have. Congratulations on that solar panel investment. I didn't realize the sun actually hit Indiana. So, great to hear that, and keep up the good work.
Mike Shor: 42:50 By the way -- thanks, Chris. We appreciate the little slap at Indiana. But, the solar installation is in our facility in Mountain Hill, North Carolina. Okay?
Chris Olin: 42:57 Okay.
Operator: 43:04 There is a follow-up question coming from Marisa Hernandez. Marisa, your line is live.
Marisa Hernandez: 43:13 Thank you. Thank you for taking my follow-up. On the other market revenue, you have a very good growth this year and you called out the FGD market. Is that a significant portion of that other market revenue? And can you talk about the outlook for that market?
Mike Shor: 43:37 Yes. I would -- our flue gas desulfurization or FGD business is on the commodity side, on the low end of the commodity side of our mix. What we did when we were in the pandemic and when we were incurring significant direct charges because of our absorption issues we had with lack of volume, we pursued more FGD business and we're successful and it was a great business decision for us because it helped keep our employees at work and it helped steel moving through our assets. 44:15 What I said in my script comments though, is that as our business improves in aero, in IGT, in the chemical processing market, we will deemphasize significant growth in FGD because it uses the same assets, and quite frankly, it's not nearly as profitable. So, the outlook for that market is very strong, but it typically is a very high-volume business, which is not our wheelhouse of business. And so, I would say that we will begin to see over the next couple of quarters some decline in the FGD business for us and that would be an intentional move, a mix move.
Marisa Hernandez: 44:58 Thank you.
Mike Shor: 45:00 Thank you.
Operator: 45:06 There are no more questions in the queue. I would now like to turn the floor back over to Mike for any closing comments.
Mike Shor: 45:13 Thank you, Holly. Thanks, everyone for your time today and thank you for your interest and support of our company. We look forward to updating you again next quarter. Have a good weekend everyone.
Operator: 45:26 Thank you, ladies and gentlemen. This does conclude today's conference call. You may disconnect your phone lines at this time and have a wonderful day. Thank you for your participation.